Operator: Good afternoon, ladies and gentlemen, thank you for standing-by. Welcome to the Sherritt International Corporation Third Quarter 2013 Results Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) I would like to remind everyone that this conference call is being recorded, today, Wednesday, October 30, 2013 at 2 PM Eastern Time. And I will now like to turn the conference over to Paula Myson, Managing Director, Investor Relations and External Communications. Please go ahead.
Paula Myson : Thank you, Ron and good afternoon everyone. Our third quarter results were released this morning. A copy of the release, the MD&A and full financials are available on our website. Today’s call is being webcast, so in addition to those on the line, anyone may listen to the call by accessing the webcast link of sherritt.com. A replay of the webcast will be available on the site later today. Before we begin our comments, I would like to remind everyone that today’s press release and certain of our comments on the call will include forward-looking statements. We would like to refer everyone to the cautionary language in the press release and to the risk factors described in our SEDAR filings. With us today is, David Pathe, our President and CEO, who will begin the call by reviewing the highlights of the recent quarter and our final outlook for 2013. We will then hear from Dean Chambers, our Executive Vice President and Chief Financial Officer, who will summarize our financial results. After our prepared remarks, we’ll open up the call for questions. And with that, I will turn the call over to David.
David Pathe : Alright, thank you, Paula. And thank you everyone for taking the time to join us again this afternoon. You will have by now all had a chance to see our press release, basically modest profit for the quarter pretty much flat for the quarter. All of our businesses performing more or less as we expected, we saw good, steady production in oil. Metals production went back up to where we were looking forward to be after our discussions in July. Good improvement on our net direct cash cost, and then nickel, I am going take here a couple of minutes here and go through all of our businesses as well as give you an update and little color as to where we are at Ambatovy. But first I just wanted to pick up on our Investor Day that we held last month. In mid-September we had an Investor Day, many of you that -- who had had a chance to attend and thank you for taking the time to do that. At that session we tried to give you an update as to where we are at Ambatovy, I mean getting a little more granular in terms of some direction on where we are expecting cost to come out at different levels of production, some insight into some of the complexity around the accounting and how that will change with commercial production. We also spent some time, talking about each of our different businesses, corporate structure, liquidity; those sorts of things. In the discussion of our businesses we did focus on some of the opportunity that we see in each of our businesses. And I encourage you to, if you have another chance to attend the presentation or take a look at it, it is up on our website I’d encourage you to go and take a look. One of the things we did touch on is the possibility in our metals business, was the possibility of resuming construction of the acid plant that was part of what was under construction in the phase II of expansion that was underway in our metals business when it was suspended for economic reasons back in 2008. An update on that, we’ve now come to terms with our Cuban partner on resuming that construction project for a new acid plant. We now have agreed estimates and then financing that project will get underway and resume construction in the second quarter of next year and by mid-2015 we should be seeing the initial acid production out of that new facility. That when it is up and running, will give us the capacity to produce all of our own acid at Moa. So we will no longer have to import acid into the Moa site. We’ll just be importing sulphur and producing all of our own acid. It will give us further acid capacity to take that operation up to 46,000 tonnes which was the original design capacity of the phase II expansion that was underway in 2008. And the best result for that we expect to see was that we’ll see our net direct cash cost come down by about 20% as a result. It’s a positive development for our metal business and consistent with our philosophy of looking for our business is to operate within their existing cash flow is that we have that project, it’s essentially fully financed by Cuban financial institution that we will be drawing upon through the construction phase. So a positive development there that I am very pleased to see. So let me turn now to all of our, just a quick run through our operations and I will start with Ambatovy as obviously that’s where people’s focus and attention has been in the last few quarters and few years now. Obviously we had some mechanical challenges this past quarter and so I wanted to give you a little more insight into what they are. Overall throughput was pretty much flat, quarter-for-quarter. The mechanical issues that we were dealing with on the ground there continued. There were two significant issues in the quarter that did have an impact on production. But we are still seeing that the issues we were having are purely mechanical in their nature and they are still the kind of things that we get to end of. The chemistry as I have said in the past, the chemistry, the processes and the core of the technology here is still performing well and in fact in a couple of minutes I will get to it. We’re seeing increased improvements in that in terms of throughput rates and extraction rates so they are continuing to go in the right direction. But then well let me spend a couple of minutes on the significant events of the quarter and give you a bit of a flavor and for what we have dealt with. In mid-July we had some issues with the acid delivery systems. That two of the autoclaves that caused some acid corrosion and two of the autoclaves knocked them out of production for a while. The first one was back in service in mid-August but we lost about a month of production on that. The second one had more serious issues that are still in the course of being repaired and that autoclave won’t be back online until towards the end of the year. Secondly, in late August, we had a valve failure in our de-mineralized water system that caused a spike in the pH system and the pH level of the de-mineralized water and to avoid any damage to the plant that we took the full plant down. The result of that was that we more or less had zero production at the facility for about a week, which obviously has an impact on your quarterly numbers and that’s consistent with the peak and valley nature of the ramp ups that we’ve talked about in the last few quarters. What we did one that occurred is we took advance of that to re-jig some of our maintenance schedules. I think we talked three months ago about we had two autoclaves that were due for major maintenance turnarounds this fall. We actually got on those and started those right away. One of those has been completely and the other one of those will be complete this weekend. And we also took the opportunity to do a lot of other work we talked last quarter about acid plants. We did some inspections and recovering of furnaces and the acid plants another parts of the utilities. We got ahead of the curve on the inspections and the refinery we changed our valves on the pipeline. We did a number of things that were scheduled to take place this fourth quarter and into the first quarter of next year, including the outage of the hydrogen plant that was scheduled and would have taken the plant down the first quarter of next year. We have now done all of that and so the preventive maintenance that would have been done in the fourth quarter of this year and the outage that was scheduled for March of next year have now both been taken care of and we’re now well positioned to get on with those sorts of things, get on with production here. Where we are today is that despite the lower autoclave availability in the quarter, we have had improved volumetric flow rates, we’re getting better in densities of ore out of thickeners and into the autoclaves as a result of some modification we’ve made to the thickener. And we’re getting better metallurgical recoveries in the PAL circuit so despite the lower available in the quarter, we actually saw higher mixed sulphide production. In October with now autoclaves back on full tilt we’re seeing throughput in the 50% to 55% range and not just with those I say the three autoclaves of availability we’ve got a fourth autoclave coming online this weekend and on that basis of where we’re from autoclave availability and the maintenance that we’ve been able do as a result of the couple of failures that we had in this quarter. We now feel that we have still got a good shot at achieving commercial production this quarter and that’s what we’re targeting and that’s why we have left the guidance as it is there. Across our other businesses, we talked in July about Moa and the impact of the timing of scheduled maintenance turnarounds. The third quarter has spanned out as we’ve expected in fact better than we could have hoped. We have had a production record at Moa in terms of mixed sulphides for the quarter. We now have our maintenance turnaround behind us. We have the truck availability issues behind us and operating full fleet of mining trucks again, had a very strong quarter there obviously and expecting to see that continue into the fourth quarter. The result of that in terms of higher production as well as Moa input commodity cost has been a significant improvement to our net direct cash cost, we are down about $0.50 a pound quarter-over-quarter and we’re seeing the benefit of that in the margins in that business. In Coal, we had lower volumes production wise in both Prairie and Mountain compared to the Q3 of last year and Q2 as well. On the Prairie side, reduction in volumes was largely due to customer demand, driven part by an outage of a unit at Boundary Dam that’s down for a major work over and taking a little longer than anticipated. Mountain operations, we scaled back a little bit in production deliberately in terms of trying to optimize the production profile from a cost perspective. We have implemented a lot of the cost saving initiatives there. That are now starting to show some benefits, we have seen about $10 a tonne reduction in coal pricing overall quarter-over-quarter and about $4.5 a tonne compared to Q3 of 2012 and built into that number is the couple of dollars worth of one-time charges in relation to some restructuring in severance obligations as well as a couple of dollars impact of the continuing to clear out the relatively high class Obed inventory that we have been working down since we suspended operations at Obed a few quarters ago. That will impact at about 100,000 tonnes of sales this year on this quarter on 700,000 tonnes of production at Obed. We will continue to see that in fourth quarter and maybe a little bit into the New Year as we clear up the rest of that relatively high cost Obed inventory, but money that’s already been spent in production that’s not money going out the door at this point. Oil and Gas, we never talk much about, but I think don’t talk much about it because it is a business that continues to perform very well. You look at the production and cost numbers there, they’re remarkably consistent to the last quarter and last year. We are continuing to see good volumes and good margins out of that business particularly despite the age and the decline rates in some those fields our programs of infield drilling and work over is maintaining production at or about we’re expecting to see this year. Oil price is the one commodity price of ours that is held up well this year and so we’re continuing to see good pricing good margins and good cash flows as our partner there who purchases the oil is staying very current on receivables. So that continues to be a strong cash flow in business for us that I continue to believe doesn't get the attention it deserves. Lastly in power some variation there compared to comparable quarters primarily just driven by the timing of maintenance schedules, we have the continuing production grades but the differentiations that you are seeing are largely as a result of maintenance timing. Some of it was a scheduled major inspection at Boca. And there are a couple of minor unanticipated maintenance events but those are under control. Just to talk about markets for a few moments, obviously the nickel market has continued to be weak. We have seen a continued decline in benchmark and realized pricing in Q3 over Q2. Potentially some signs now that there is a bit of strength and we have seen it come back not dramatically but by $0.20, $0.30 a pound in the last month or so. We continue to believe that there is a lot of production out there that is under water on a cash margin basis, and we have begun to see a few responses on the supply side, nothing dramatic yet but we think there is about 32,000-34,000 tonnes of production that's going out on the supply side going into 2014 based on a couple of announcements that have been made of suspensions of operations. I think if markets persist at these levels there will have to be more of that, and production is always sticky to go out or offline because of the cost and implications of that, but with the significant quantity of nickel production that's under water at these prices that can't be sustainable forever. Cobalt market has actually improved a little bit. We did see slight increase in the reference price for cobalt over the last quarter. Not a dramatic change but it does help us, there is strength in cobalt demand and we see that reflect and that does contribute to an improvement on our net direct cash cost as well as we obviously account for that as a byproduct credits in our nickel cost pricing. Thermal coal Mountain operations as our commodity price exposed, coal business obviously the story there is ongoing weak seaborne thermal coal prices as well. We're still seeing a lot of high volumes of coal coming out of Indonesia and other places that are contributing to the market. There is still pressure on U.S. coal given depressed domestic U.S. coal markets for U.S. coal looking to find its way to tie water to get access to seaborne coal prices. So there is still pressure on the supplies side there and demand is still not where it was a couple of years ago on a global scale. So we're seeing ongoing weakness in that price and that's reflected in the realized pricing we're getting for our sales and causing us to continue to drive our cost initiatives on the Mountain side and continue to reevaluate various production scenarios. In terms of outlook, no real changes to our outlook from what have published last quarter, the obvious exceptions of that being scaling back of annualized expected production out of Ambatovy for both nickel and cobalt, that is primarily just a result of lower production to-date as a result of some of the mechanical challenges that we were just talking about and as I discussed in our press release and other documents this morning. As I say though we're still targeting our commercial production by the end of this year and believe that's achievable based on where we're positioned today. But that as I have cautioned in the past is really just an accounting milestone and we are very much focused on getting beyond that and up into the 80%, 90% range, this is where we need to get up to over the course of -- as we get into 2015 to achieve financial completion, sorry into 2014 as we get into achieving financial completion and ramping up to being cash flow neutral and making some money here. That I think covers the color I wanted to provide on our different operations, I am going to turn it over to Dean now and let him highlight a few things for you in some of the financial results. And then we'll come back and take any questions you have.
Dean Chambers: Thank you, David and good afternoon. It seems every quarter I am highlighting a significant adjustment to our earnings that really makes comparing results from period-to-period somewhat difficult. For example, this quarter we had a large gain on the Ambatovy coal option, which I'll talk more about in a few minutes, but this is exactly the opposite to what we had in the same period a year ago, where we had an unusual expense relating to the redemption of our debentures. And while these adjustments are important accounting entries they can tend to conceal how our business is actually performing. So I would like to talk about a couple of measures that we look at that give some insight into how our businesses are operating. One of those measures is our adjusted operating cash flow. We present that on a per share basis, and for the third quarter it was $0.20 a share, actually slightly up compared to the second quarter this year. We like adjusted operating cash flow because it's unaffected by non-cash items and we exclude working capital changes in the calculation. So it isn't distorted by the timing issues related to working capital cycles. One thing to note that now the equity account for our metals business, it does not capture cash flow generated in our Moa joint venture and ultimately in the Ambatovy joint venture, unless there are distributions to the shareholders and say in the form of dividend. And so it can be lumpy, if there is a period where there has been a distribution, but it does capture the cash flow available at the corporate level. Another important measure is adjusted EBITDA that we watch closely. In this case we do adjust for the accounting for metals under IFRS and essentially we treat metals just the same as all of our other businesses. In the second quarter our adjusted EBITDA was $85 million, essentially unchanged from the second quarter of this year. So, if I look at over the last few quarters, we’ve achieved a very stable operating cash flow, adjusted operating cash flow and adjusted EBITDA despite an environment of consistently lower pricing for nickel and export thermal coal. And if I look at the last quarter, this is because we’ve had higher finished metal sales volumes, lower input commodity cost in our metal businesses, and very steady performance out of our oil and gas business and steady cash flow from that business. It also reflects the cost discipline that we’re implementing across all of our businesses throughout this period. So let’s start with the drivers of our revenue line, starting with sales volumes. The metals business sales volumes were up in the quarter matching the higher production. As Dave mentioned, we conducted a refinery turnaround in the second quarter this year so we don’t have that impact in the third quarter this year. And this is consistent with our guidance of a strong second half of the year for this business. In coal, we saw volumes decline mainly for two reasons; first the contract mining business was exited in January; and second is the deliberate modified production plan aimed at optimizing production and sales at Mountain in the challenging export thermal coal environment that we’re experiencing. As for pricing effect on revenue, the softer nickel pricing was offset by the volume increase and stronger cobalt pricing in metals. Our Prairie coal business is largely unaffected by market coal prices, but contract prices have improved in our Prairie operations. But our Mountain business has seen a drop of almost $15 per tonne year-over-year. As Dave has already described this is a very tough market, and one that we don’t expect to get better for some time. As a result, we will continue to focus on our cost and managing volumes in that business responsibly. If you look at our oil and gas business, we’ve had both consistent sales and pricing over this period, which has provided that stability that I mentioned earlier. Now on to everyone’s favorite topic, taxes and our effective tax rate. The calculation of effective tax rate is actually pretty simple in terms of the fact that it’s just income tax expense over earnings before tax. But it’s very complicated because it reflects a blend of our earnings and the tax rates in the various jurisdictions in which we operate. In addition, it can be affected by one-time adjustments. One-time adjustments such as the change in the coal option, which maybe not taxable and in that case only a portion of that’s not taxable. And also there can be variability in the recognition of tax benefits from period-to-period. The other thing to mention is because of our equity accounting for the Moa JV those earnings that come on to our balance sheet already net of tax. And so the ratio of Moa JV earning relative to the overall earnings with the corporation can have a significant impact on the effective tax rate for the period. Just to show you how variable these rates are. If you look at the three quarters in 2013 and the effective quarterly tax rate for those periods it’s ranged from minus 119% to positive 138%. As I mentioned earlier, this is in a period of relatively consistent operating cash flow and EBITDA. So this just highlights how variable this measure is, how difficult it is to forecast especially on a quarterly basis. And that past numbers do not really help you predict the future. Nonetheless if I look at guidance we still expect that the effective tax rate should be in the range of 30% to 35%, borrowing a significant one-time adjustment which really gets me back to the topic of adjustments and impairments. As I mentioned during the quarter the largest adjustment that we experienced was the adjustment in the Ambatovy coal option. We talked about this at the Investor Day in September because we knew this would have an impact on this quarter’s results. And it simply arises from the fact that we’ve extended the completion date in the senior project financing at Ambatovy by two years from September 2013 to September 2015. So that’s increased the time value of the option and therefore the value of the overall option. We will be revaluating this option every reporting period, but as in the past it should decline as it approaches maturity. This also reminds me of adjustments in general. We continually monitor the market conditions and evaluation of our assets in our businesses. This is especially important when you look at what’s been happening in the nickel and export thermal coal market. Nickel has declined over 20% since the beginning of the year and likewise export thermal coal pricings has declined 16% since the beginning of the year. We will continue to look at the value of our assets and our businesses relative to the pricing environment that we currently are experiencing and predict for the future. I will also mention that in the fourth quarter we also will be evaluating the goodwill that’s related to our coal business. Now turning to one of the most important topic and that’s our cash position and liquidity. In addition to the cash generated we used approximately $35 million of cash from our balance sheet in the quarter taking our cash and short-term investment balance to just over $370 million at the end of September. We’ll highlight that during the quarter we contributed about $64 million to Ambatovy as our pro rata share of the funding required at the project. I do expect that our cash balances decline further between now and the end of the year and would also like to highlight that Ambatovy is now making principle payments on its senior project debt. Those payments occur in June and December so there will be a payment in December of about $60 million our pro rata share of that payment will be $24 million. Our long-term debt remains unchanged for the quarter as well as the other liquidity metrics. That includes the remarks I’d like to make at this time. And so I will turn the call back over to the operator so we can open up the lines for questions.
Operator: (Operator Instructions) Your first question comes from Matt Murphy from UBS. Please go ahead.
Matt Murphy : Congrats on the ability to go forward with the Moa acid plant. I just had a question on the 20% cost reduction anticipated, is that relative -- what level is that relative to, is that relative to like your latest costs or what should we look at for the improvement? And does it just assume you stop buying sulphuric acid or does it also assume you ramp up to higher throughput or get higher recoveries from higher acid application?
 UBS: Congrats on the ability to go forward with the Moa acid plant. I just had a question on the 20% cost reduction anticipated, is that relative -- what level is that relative to, is that relative to like your latest costs or what should we look at for the improvement? And does it just assume you stop buying sulphuric acid or does it also assume you ramp up to higher throughput or get higher recoveries from higher acid application?
David Pathe: Taking your questions in order there Matt, the 20% saving is basically based on an estimate of where we are today from a cost perspective and basically prevailing sulphur and sulphuric acid prices and as the substitution of sulphur for sulphuric acid that creates most of the cost savings. There is some incremental benefit that will come as well from having cheaper acid because it does give us the ability to put more acid into the autoclaves at any given price point for nickel that will give us slightly higher recovery so we could see a slight increase in overall production as well. We constantly reevaluate and recalculate what’s kind of the optimal amount of acid that we put into the process based on the relative value of a unit of acid and the incremental value of one additional nickel unit giving the progressively declining recovery rates from every additional incremental unit of acid that you add to the mix and the autoclave. So with access -- the primary cost benefit comes from cheaper acid as a result of substituting sulphur for acid, but then there will be some incremental production benefits as well as a result of having that cheaper acid.
Matt Murphy : And then I guess just on the Ambatovy acid injection system failures was it two independent units that failed and in that case do you have to replace them all or was it all related to one failure?
 UBS: And then I guess just on the Ambatovy acid injection system failures was it two independent units that failed and in that case do you have to replace them all or was it all related to one failure?
David Pathe: It was two -- the piping acid delivery into two separate autoclaves that we had failures in both and the replacing the delivery system besides was relatively straight forward, it’s just replacing some piping and that can be done relatively quickly. The more time consuming part was that we had some acid damage to the autoclave itself that needs to be that causes some welding jobs to be done. It took a few weeks on one autoclaves and it took several months on the other.
Operator: (Operator Instructions) Your next question comes from Cliff Hale-Sanders from Cormark Securities. Please go ahead.
Cliff Hale-Sanders : Just kind of following up on Ambatovy, you have indicated you expect to still achieve commercial production by the end of this calendar year. Just wondering what exactly are you going to view as commercial production, is that 70% of throughput over 30 days or what sort of metric are you really looking to suggest that the plant is now ready to be brought into the income statement or is it more of a now let’s just get it into the reporting part of the Company?
 Cormark Securities: Just kind of following up on Ambatovy, you have indicated you expect to still achieve commercial production by the end of this calendar year. Just wondering what exactly are you going to view as commercial production, is that 70% of throughput over 30 days or what sort of metric are you really looking to suggest that the plant is now ready to be brought into the income statement or is it more of a now let’s just get it into the reporting part of the Company?
David Pathe: No, it’s the same test that we’ve been talking about for commercial production for a few quarters now and it is that 70% of oil throughput on average over a 30 day period that we're still targeting, that will be -- and the significance of that and the only significance of that frankly is the flipping over from capital accounting to conventional revenue and cost recognition accounting.
Cliff Hale-Sanders : I guess is it -- why are you confident I guess in the call you suggested you're at 50% to 55% and you still have two autoclaves down and you have picked up one back up next week as you ramp that one up, that just giving you the confidence that that those four autoclaves will give you that 70%?
 Cormark Securities: I guess is it -- why are you confident I guess in the call you suggested you're at 50% to 55% and you still have two autoclaves down and you have picked up one back up next week as you ramp that one up, that just giving you the confidence that that those four autoclaves will give you that 70%?
David Pathe: That's what we're shooting for, we think it is achievable, I mean, there's no doubt that we are not where we were looking to be today, otherwise I wouldn't be revising down the guidance that we're giving you for the year today obviously. But given where we are now and with the three autoclaves running well, the higher rates that we’re getting through them, the better densities of ore that we’re seeing in, in the higher recovery rates that we're getting and a fourth autoclave coming online and coming up in a couple of days, we are -- we think it is achievable and so that's where we have left the guidance with, that's what we're targeting, it is more of a reach than it would have been if we'd had a stronger third quarter but given where we are today the work that's been done and the work we've seen in October we think it's achievable.
Cliff Hale-Sanders : And would you say the cost estimates that you presented at the Investor Day for various throughput levels 50%, 60%, 70%, 80% that are still accurate based on the results to-date that you guys have seen?
 Cormark Securities: And would you say the cost estimates that you presented at the Investor Day for various throughput levels 50%, 60%, 70%, 80% that are still accurate based on the results to-date that you guys have seen?
David Pathe: Yes, I think those ranges that we’ve seen are still current and valid basically based on kind of current pricing for the various input commodities that drive those, obviously pricing will move up and down in that operation the same way it does in Moa operation as it gets over its life with the variation in input commodity prices but we haven't seen anything that's changed in the last six weeks that would cause us to question the validity of what we showed you last month.
Operator: (Operator instructions) Your next question comes from Patrick Morgan from RBC. Please go ahead.
Patrick Morgan : Regarding potential strategic review and sale of assets, can you give any color on the position or the status of discussions on that pursuit?
 RBC: Regarding potential strategic review and sale of assets, can you give any color on the position or the status of discussions on that pursuit?
David Pathe: Well, we did talk a bit about that at the Investor Day, there isn't anything further for me to announce on that today, I mean I can’t say we are still looking at the number of different options, we are in some conversations with a number of different people but there isn't anything that's at a stage that would be announceable at this point in time, so there isn't anything further for me to reveal to you today on that. But it is something that continues to be a part of our focus here and we will continue to progress that and we’re hoping we will be able to show some progress on that by the time we speak to you next time.
Patrick Morgan : And Dean you mentioned, you expect to burn cash through, towards the end of the year this year, if nickel prices stay flat are you concerned at all about the balance sheet, the cash level over the next couple of years or do you feel comfortable that the ramp up at Ambatovy and cost savings at Moa will keep you in good shape?
 RBC: And Dean you mentioned, you expect to burn cash through, towards the end of the year this year, if nickel prices stay flat are you concerned at all about the balance sheet, the cash level over the next couple of years or do you feel comfortable that the ramp up at Ambatovy and cost savings at Moa will keep you in good shape?
Dean Chambers: Well, there's no doubt that we're very focused on the status of our balance sheet and our cash balance. One of the great things is, is we have that steady cash flow out of our oil business and that helps us a lot and we would expect that to continue, obviously we are looking for improvement in production at Ambatovy and the funding levels at Ambatovy and getting cash flow neutral there, that will be a big milestone for us. I'm very pleased with the improvement in net direct cash cost at Moa and we run all of other businesses to be cash flow neutral to positive.
Patrick Morgan : So at current nickel prices do you think you’re okay calling on a two year view?
 RBC: So at current nickel prices do you think you’re okay calling on a two year view?
Dean Chambers: Yes because we are very focused on our balance sheet but I am comfortable at this moment with the plans that we have in place.
Operator: Your next question comes from the life of Anoop Prihar from GMP Securities. Please go ahead.
Anoop Prihar : Just coming back to that question on cash balances for a second, how should we be thinking of an Ambatovy ramp up getting pushed out in terms of how much additional cash that might end up consuming over the course of next year? I'm not so much asking you for specific numbers, I'm just trying to get my head around as to what that impact could potentially be?
 GMP Securities: Just coming back to that question on cash balances for a second, how should we be thinking of an Ambatovy ramp up getting pushed out in terms of how much additional cash that might end up consuming over the course of next year? I'm not so much asking you for specific numbers, I'm just trying to get my head around as to what that impact could potentially be?
David Pathe: Well it is hard to predict because it's not only the ramp up it's obviously what the commodity price scenario is as the next six months of the year unfolds. I think you've looked at sort of a pattern of spending to-date, and one of the big factors now as I mentioned earlier is the fact that the project is now making debt payments on a principle, it’s spending about $120 million total for this year, the more like 190 for next year, so that's a significant factor as well, so it's good news that we're paying down the debt but that is consuming cash. So it’s really hard to put a number on it but it could be significant no doubt.
Operator: Ms. Myson, there are no further questions at this time, please continue.
Paula Myson: Thank you, Ron. We look forward to speaking with you again in February with our next update and fourth quarter results. And thank you to everyone for participating in the call today. And please feel free to contact us if you have any follow-up questions. Have a great afternoon.
Operator: Ladies and gentlemen, that does conclude our conference call for today. Thank you for participating. You may now disconnect your lines.